Operator: Greetings and welcome to the Celanese's First Quarter 2022 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the call over to Brandon Ayache, Vice President of Investor Relations. Thank you. You may begin. 
Brandon Ayache: Thank you, Daryl. Welcome to the Celanese Corporation first quarter 2022 earnings conference call. My name is Brandon Ayache, Vice President of Investor Relations. And with me today on the call are Lori Ryerkerk, Chairman of the Board and Chief Executive Officer; and Scott Richardson, Chief Financial Officer. Celanese Corporation distributed its first quarter earnings release via Business Wire and posted prepared comments about the quarter on our Investor Relations website yesterday afternoon. As a reminder, we will discuss non-GAAP financial measures today. You can find definitions of these measures, as well as reconciliations to the comparable GAAP measures on our website. Today's presentation will also include forward-looking statements. Please review the cautionary language regarding forward-looking statements, which can be found at the end of the press release, as well as the prepared comments. Form 8-K reports containing all these materials have also been submitted to the SEC. Because we published our prepared comments yesterday, we'll now open the line directly for your questions. Daryl, please go ahead and open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Josh Spector with UBS. Please proceed with your questions.
Josh Spector: Hi. Thanks for taking my question. I was just curious on the Engineered Materials' EBIT guidance. I was wondering what's baked in there in terms of volume sequentially. I mean, you're pretty clear about the auto pull-forward, but wonder if there's any other puts and takes around that, assuming you're getting incremental pricing, I assume, you're assuming some volume moderation for 2Q. And then similarly, for the rest of the year thinking about how you're kind of framing up volume expectations for auto end markets and otherwise. Thanks.
Lori Ryerkerk: Yes. Thanks, Josh. As we look at full year, so if we look at 2021 to 2022 we are assuming some volume in there. Some of that is for Santoprene, but there's a couple of percent growth in base business as well. And that really comes about as we see improvements in 2022 versus 2021 and a lot -- the availability of a lot of our raw materials. So things like glass, fiber, things like flame retardants, even some resins that we called out last year. Now that we are getting better supplies of those, we're able to increase our volumes and that really accounts for the base volume increase. And as I said, we do have volume increase in there as well for Santoprene. I would say, we called out auto to be flat year-on-year, so we're not assuming a large increase in volume to auto, although, we do continue to see margin growth in materials into auto, as we continue to high-grade the materials we sell into auto. But I would say, really, strength across all sectors, all of them growing a little bit in that volume.
Josh Spector: And then, I guess, just specifically on 2Q and that sequential volume move, are you thinking that volumes are up or down into 2Q, given some of the macro headwinds?
Lori Ryerkerk: Yes. I think, in Q2, we're expecting a little less volume. Again, we called out that we had about, what we think, was $10 million to $15 million of volume pull forward from 2Q to 1Q. Again, I think, we called it out in our notes. Really, that was driven by demand being down in 1Q in terms of auto builds, but people wanting to go ahead and rebuild inventory. You might recall that, we had said, fourth quarter, we saw a lot of inventory reduction, as people went to end of the year. And so, we think people were just rebuilding inventory in 1Q. And unless we see a rapid demand, which we're not forecasting, for auto in 2Q, then we would expect to see that $10 million to $15 million not show up in the second quarter, if you will.
Josh Spector: Okay Thank you.
Operator: Thank you. Our next questions come from the line of P.J. Juvekar with Citi. Please proceed with your questions.
P.J. Juvekar: